Operator: Good afternoon. My name is Catherine, and I will be your conference operator. I would like to welcome everyone to Xilinx First Quarter Fiscal Year 2019 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I would now like to turn the call over to Matt Poirier. Thank you. Mr. Poirier, you may begin your conference
Matt Poirier: Thank you, Catherine, and good afternoon, everyone. With me are Victor Peng, CEO; and Lorenzo Flores, CFO. We'll provide a financial and business review of the June quarter, the business outlook for the September quarter and the revised outlook for fiscal year 2019. We will then open the call for questions. Let me remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to the documents the company files with the SEC, including our 10-Ks, 10-Qs, and 8Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. Beginning in Q2, in addition to GAAP financial measures, we expect to disclose certain supplemental non-GAAP financial measures used by management to evaluate the company's financial result. These measures are disclosed to facilitate period-to-period comparability for purposes of evaluating continuing business operation, by excluding the effects of non-recurring and unusual items, such as amortization of intangibles and certain one-time items related to acquisitions. As inorganic growth becomes more significant to our overall strategy, we believe that sharing these non-GAAP measures will be helpful for analysts and investors in analyzing the company's ongoing core business. A reconciliation of non-GAAP financial information to the closest GAAP measure is included in our earnings release and has been posted on our Investor Relations website. This conference call is open to all and is being webcast live. It can be accessed from our Xilinx Investor Relations website. Let me now turn the call over to Victor.
Victor Peng: Thank you, Matt, and good afternoon, everyone. I'm delighted that our effort to drive growth in our core markets has delivered record revenue and EPS for the quarter. The June quarter revenues of $684 million were up 14% year over year, with growth across the majority of our business as six of our nine end markets increased in the quarter. Our strategy to drive accelerated top line growth is delivering results. We're confident we can build on the momentum we established in Q1 through the rest of the fiscal year. Consequently, we are raising our guidance for the full year based on the strength of our business across multiple end markets, including the Data Center and TME market and the communications market. Lorenzo will discuss both the fiscal second quarter and the full year guidance in his remarks. We made significant progress on our Data Center strategy, getting key design wins from hyperscalers in acceleration use cases beyond FPGA as a Service or FAAS. On the FAAS front, Huawei announced general access to their FAAS offering. We also continued the expansion of our software ecosystem with an additional 500 AWS F1 developers trained in the quarter, bringing the cumulative number of trained developers to over 900. On the inorganic front, we acquired DeePhi Tech, which significantly strengthens our capability in artificial intelligence from the cloud to the edge. DeePhi is a Beijing-based company with industry-leading capabilities in AI, specializing in compression, pruning and system-level optimizations of deep neural network. We also made multiple investments during the quarter in our applications ecosystem across a breadth of apps, including data analytics, video transcoding, and network intelligence. Lastly, on the Data Center, we see very strong early interest in the Data Center boards offering we plan to launch later this year, as we shared at our Analyst Day in May. Our transformation from an FPGA company to a platform company, which began when we introduced the 28 nanometer Zynq family, continues to build momentum with our 16 nanometer Zynq MPSoC and, most recently, our disruptive 16 nanometer Zynq RFSoC products. Our first and second generation Zynq products achieved a new sales record in the June quarter, growing 76% from the year ago quarter, and now represents 17% of total sales. This growth was driven by a broad set of applications in the automotive, industrial, communications, and Data Center markets. We're extremely excited about our RFSoC products that are now shipping in production and have very strong design-in momentum with approximately 60 active customers. An example of our momentum in the automotive market is our recent announcement with Daimler AG of our collaboration on a custom AI inference platform for their future vehicles. This custom solution is built on top of a Xilinx automotive platform consisting of MPSoC devices, AI acceleration, IP and software. This scalable solution delivers high performance with low latency, and exceptional power efficiency for automotive applications with embedded AI. The partnership is going extremely well and is another milestone in our long history in the automotive business. We have cumulatively shipped more than 50 million units of ADAS into the automotive OEMs and Tier 1 suppliers. Our sustained excellence in innovation and execution is driving momentum across multiple end markets, as demonstrated in our June results. We're also delighted that a constructive resolution to the Department of Commerce ruling on ZTE has been reached. Accordingly, we plan to resume shipments to ZTE this quarter. Lorenzo will share more details on how this factors into the September quarter as well as our full year guidance. While we're very pleased with our latest results, we remain intensely focused on executing on the three elements of our strategy; driving significant growth in the Data Center, accelerating growth in our core end markets, and driving adaptive computing. We are absolutely committed to the sustained long-term growth of our business and delivering value to the shareholders. Now, I'll turn it over to Lorenzo.
Lorenzo A. Flores: Thank you, Victor. As Victor discussed, our business is showing robust strength. So, today, I will discuss the first quarter, and I am pleased to also provide updated guidance for the rest of the year. For the June quarter, sales increased to a record of $684 million as we easily surpassed the midpoint of our guidance. Sales were up 7% sequentially, and 14% year-over-year, driven by broad-based growth in our Advanced Products. Advanced Products grew 6% sequentially, and 21% year-over-year, indicative of the overall strength of our product portfolio. As a reminder, we adopted the new revenue recognition standard in the fiscal first quarter, and all figures and prior period comparisons are based on the new standard. From an end market perspective, Data Center and TME was down primarily due to an expected decline in TME and the decline in cryptocurrency. Communications was up, as broader strength in both wired and wireless offset the impact of ZTE. Industrial, Aerospace & Defense grew slightly, as broad industrial growth more than offset an expected decline in A&D. Finally, all end markets in Automotive, Broadcast and Consumer increased. Channel revenue was $8 million. Note, we remain significantly below target levels of Channel inventory. Gross margin for the quarter was 69.8%, in line with our guidance. Operating expense was $262 million, slightly higher than our guidance. Operating income for the quarter was $216 million, or 31.5%. The tax rate for the quarter was 11%, in line with expectations. Our net income for Q1 was $190 million, and diluted shares for the quarter were 256 million shares. That leads to earnings per share of $0.74, which is a record for Xilinx. Now, I'd like to highlight a few key points on the balance sheet and cash flows. We ended the quarter with $3.4 billion in gross cash, and $1.7 billion net cash after our debt. In the quarter, operating cash flow was $176 million, and we returned $228 million to shareholders in the form of $91 million in dividends, and $137 million of share repurchases. We bought back approximately 2.1 million shares at an average price of $66.27 per share. We have approximately $570 million remaining in repurchase authorizations. We will continue to apply our capital allocation strategy, as discussed at our Analyst Day. Accounts receivable increased $75 million to $456 million. While we expected receivables to decline this quarter, we are still in the process of implementing our new channel inventory management practices. The combination of shipment patterns and our business processes resulted in our increased accounts receivable balance. However, there is no concern about the quality of our accounts receivable. The receivables are current, and we anticipate no collection issues. We continue to improve our processes in conjunction with our channel partners, and are confident that we will see a reduction in the balance. Now, for the guidance. As Victor mentioned, we are updating our FY 2019 guidance based on the broad strength we are seeing in our business. We now expect fiscal 2019 sales to be between $2.8 billion and $2.9 billion. This would be approximately 15% revenue growth at the midpoint. All of our end markets are expected to grow in the year, with notable strength coming from Data Center, TME, Industrial, and Communications. We continue to gain revenue traction in Data Center. TME applications and customer adoption are expanding. And Industrial is growing across a broad set of applications, including industrial IOT, vision, and medical. Wireless is expected to grow significantly with early 5G production deployments and the anticipated recovery of our business with ZTE. We are also seeing an increase in wired infrastructure deployment in conjunction with the 5G ramp. Gross margin is expected to be between 68.5% and 70.5%. GAAP operating expense is expected to be in the range of $1.147 billion to $1.167 billion. For the DeePhi acquisition, our preliminary estimate is approximately $27 million in amortization of acquired intangibles and other non-recurring expenses. Excluding those expenses, non-GAAP operating expense is expected to be between $1.120 billion and $1.140 billion. GAAP other income is expected to be in the range of $18 million to $23 million. Excluding an expected gain on an investment of $8 million in Q2, non-GAAP other income is expected to be between $10 million and $15 million. Our tax rate is expected to be between 10% and 14%. Fully diluted share count is expected to be approximately $256 million (sic) [256 million] (12:37) for the year. Now, more near-term on the September quarter. We are expecting sales to be between $700 million and $720 million. With regards to primary end markets, we expect Data Center and TME to increase, with both end markets growing significantly. Automotive, Broadcast and Consumer is expected to be approximately flat, coming off a record quarter in June. Industrial, Aerospace & Defense is expected to decline, also coming off a very strong June quarter. Communications is expected to increase, with strong wireless revenue more than offsetting a slight decline in wired. We will benefit from early 5G deployment activity in Korea, as well as from the lifting of the denial order on ZTE. Channel revenue is expected to be approximately $20 million as we work toward more typical levels of channel inventory. Our gross margin is expected to be approximately 69.5%. GAAP operating expense is expected to be $281 million, and non-GAAP operating expense is expected to be approximately $279 million. This excludes a preliminary estimate of approximately $2 million in amortization of acquired intangibles and other non-recurring expenses. Outside of the acquisition-related expenses, the primary factor driving the increase is employee compensation, including our regular annual compensation increase for employees, and profit sharing driven by our revenue growth. GAAP other income is expected to be approximately $11 million, primarily due to a gain on investment of $8 million. Excluding that gain, we expect non-GAAP other income of $3 million. Our tax rate is expected to be between 10% and 14%. Finally, we have provided, on our website, revenue data which reconciles between our prior reported revenue and revenue under the new accounting standard, as well as a GAAP to non-GAAP reconciliation for our Q2 and FY 2019 updated guidance. With that, let me now turn the call back to the operator for Q&A.
Operator: The floor is now open for questions. Your first question comes from the line of Joseph Moore with Morgan Stanley.
Joseph Moore: Great. Thank you so much. I wonder if you could talk a little bit about DeePhi, both from the perspective of what they bring you. I've actually met with the company a while back, but the fact that you own it, that you have it in-house, how is that going to be important? And then can you put that in the broader context of when you've talked about inorganic growth, is this the type of thing you're looking at, or would you sort of look for more revenue types of opportunity there that are more immediate? Thank you.
Victor Peng: Yeah. Joe, DeePhi, as you probably know since you'd spoken to them, they've been using our platforms since the beginning, and achieving excellent results, (16:06) using their technology. They've grown quite a bit and they have expertise, of course, primarily in the DNN. But also, they got really good expertise in a variety of disciplines, the tools, the compilers, everything. So, it really does segue into the second part of your question, match very well, clearly, I think, with our strategy. Not only because we had applied, of course, all of this technology in the cloud, but as you probably noticed, they actually have a good presence at the edge applications, many different camera applications. And we've already done a fair amount of joint marketing together with them with some of our customers. They've also got, as you'd imagine, good connections and opportunities in China, but we've worked with them very significantly with multinational companies and various different industries, Data Centers, as well as things like automotive. So, it matches really well, and it's a good example. I know people have been asking questions around what our thoughts are on our M&A, and I think this is a good example of how we believe, which we said, right, in the Analyst Day, that anything we would do would have a really strong connection to our stated strategy.
Operator: Your next question comes from the line of John Pitzer with Credit Suisse. John William Pitzer - Credit Suisse Securities (USA) LLC Yeah. Good afternoon, guys. Congratulations on the strong results. Lorenzo, I'm wondering if you could just give us a little bit more detail in the increase in the fiscal year revenue guidance. It's about $100 million increase. I'm kind of curious, I apologize I've missed this, but the re-addition of ZTE, how much of that is in the $100 million? How do we think about, kind of, you working through your ASC 606 strategy? And how much of the increase is just the organic business being better? And to that third bucket, what would be the main drivers of just the organic business getting better? Thank you.
Lorenzo A. Flores: Right. So, I think I want to start with the strength in the broader organic business, because they would be overly simplified to say the increase in our annual guide is due to ZTE, because it's not. So, as Victor and I both said, we see strength across the Data Center opportunities, the Industrial area, Test Measurement and Emulation, and Communications in general, both wired and wireless, as we see new market opportunities come to us with the early emergence of some 5G deployments. So, there is broader strength than just ZTE. And it's quite significant. The $100 million increase has nothing really to do with the channel strategy. That – our expectations for that were embedded in our previous guide. Victor, do you want to add anything to that?
Victor Peng: I mean, everything that Lorenzo said is true. I mean, we – ZTE is a factor, but you shouldn't read into it. It's just ZTE coming in. As we said, if you even look at the quarter we just ended, wireless was stronger than we thought, and that was without ZTE. So, yes, this is pretty broad, which is part of the reason why I have such good confidence in wanting to raise the overall outlook.
Operator: Your next question comes from the line of Ambrish Srivastava with BMO.
Ambrish Srivastava: Hi. Thank you very much. I just wanted to go back to the Data Center side, and specifically, I just wanted to make sure I understood that part correct. Victor, you mentioned that you're getting early indications of interest on the board side. So, could you just expand a little bit more on that, because from what I understand you're actually going to – at least to us, you will unveil the product at your Developer Forum. And also, what do these metrics mean when you talk about the number of developers that you are training on AWS? Thank you. Just provide a perspective for us, please. Thanks.
Victor Peng: Sure. Look, as we shared in the Analyst Day, we are going to sell industry standard boards into the Data Center, because it's a very standards-driven form factor, and we see that as a win-win because, of course, we add more value to the customers on our solution. We also speed their ability to get their key IP and differentiation out on the market without having to deal with a lot of the basic system level issues that will build into the board. Our internal projections on when that might be, perhaps we will conservative, because it's new territory for us; and what we're just getting is, in the early engagements with customers, quite a strong amount of interest. And our sales team is pretty excited. So, we do expect that will probably come out a little bit stronger than our internal expectations which, to be honest, is relatively modest since we're just getting into it. So, that's one aspect of it. I think the other aspect of what does it mean about increasing developers and the investments we made in the applications ecosystem and then, for that matter, the DeePhi acquisition, I mean, we've said all along that while we're seeing good percentage growth in the core Data Center business, it's starting from a small base. So, this year, it's really all about, right, building on the foundation, driving the ecosystem, driving broader understanding, adoption, as well as the development we're working together with us as well as our FAAS partnerships to lower the barrier for use, improving the ease of use. Next year, we definitely think this is going to roll up into more material revenue, and continue the growth path that we do see. So, what you should take away with these other metrics is that we don't want to emphasize the revenue in this year because we are building up that foundation. Again, frankly, on a percentage basis, it's a good sized percentage, but it's starting from a small base. So, what we're trying to share with you – we got a lot of feedback we're trying to share with you – other metrics for progress that we're getting, right? So – and I certainly do think it's meaningful, right, because once these developers are trained on the platform, then over time, you'll see a whole lot more innovation going on on our platform.
Operator: Your next question comes from the line of Blayne Curtis with Barclays.
Blayne Curtis: Hey, guys. Thanks for taking my question. I apologize ahead if this is a stupid question. I'm just trying to understand the Channel line you've inserted here. So, you talked about it increasing next quarter, and obviously it's with the change with ASC 606. But how do you think about it by segment? I guess I'm trying to understand this new reporting structure.
Lorenzo A. Flores: No, I think that's a fair question, Blayne. I would answer part of your question directly, which is the reason we call it Channel is because the attribution to other end markets would be purely an estimate. And so we thought, for the purposes of transparency, we'd call it Channel. The other part of it, and on the broader and longer term perspective, we think our Channel partners are very important for us to drive growth across all of our end markets. And we know that their ability to support their customers is dependent upon their ability to service them. And so you would see the general trend of that grow with the overall business. It will be maybe a little bit up and down, but in general, it will trend with the business.
Blayne Curtis: Helpful. And then, maybe just another quick one on DeePhi. Just curious of that fiscal year guide, if you can break out what contribution from that acquisition.
Victor Peng: From a revenue perspective, I mean, they don't have any material revenue. So, I don't think that has anything to do with it. It does position us very well for FY 2020 and beyond. We're getting excellent – even before when we're separate – again, as we said, we did some co-marketing with a number of customers, and the technology really, really gets attention. So, we absolutely do see this being – bolstering our business, but for the current quarter – I mean, excuse me – fiscal year, we don't – there's no material add.
Operator: Your next question comes from the line of Toshiya Hari with Goldman Sachs.
Toshiya Hari: Great. Thanks a lot for taking the question. Victor, your Industrial, Aerospace & Defense business grew 30% year over year in the quarter. Could you perhaps highlight some of the key drivers there and talk a little bit about sustainability for the remainder of the fiscal year there? Thank you.
Victor Peng: Yeah. I think the thing about that segment is it's very, very broad. Even if we looked at each sub-segment, like the Industrial piece, the A&D piece, it's very broad. So, I would say, one kind of common trend again, and I – we kind of rolled this up, is we're seeing such a good strength in Zynq-based products and people moving to platforms. Nobody's doing custom point solutions. They all want to build things that they could scale across their product line. There – some of these areas aren't extremely fast moving, but they really now, after going through the first-generation Zynq, we're seeing that ramp up and we're seeing a lot of design wins and a faster adoption on the second generation with the MPSoC. I think in the Aerospace & Defense area, it's also good to see they are beginning to adopt more advanced technology on a more rapid basis. And I know I've talked to a number of both – and officials in the services, as well as, of course, their supply chain, our direct customers, and it's pretty consistent of them wanting to have shorter development cycles, adopt much of the latest technologies. So, that's all good. I think MPSoC is clear again on the platform, but RFSoC also has – and we're in the early stages of that, but we really do see that being a very, very disruptive product, right? I think it will be at the same kind of level of change over time, right, as the original first Zynq. So, really advanced ADC, and WAF technology integrated into very bleeding edge digital has got incredible excitement in the customers, so.
Lorenzo A. Flores: Yeah. So, I would add on that the growth in this business is very strong, as Victor said, based on a broad set of applications in Industrial, as well as a broadening of applications in Aerospace & Defense. A little bit of cautionary aspect to it would be some of the A&D business can be lumpy. It can come in big chunks, and so any quarter to quarter comparisons, you have to probably normalize for a longer term trend. But in the long-term, it's going to be very, very good business for us.
Victor Peng: Yeah. So, to more directly answer the last part of your question, it's definitely sustainable although, as Lorenzo points out, quarter to quarter you might see some dips. Like last quarter was extremely strong, this quarter will be slightly down. Overall the integrated view is it's up and sustained.
Operator: Your next question comes from the line of C.J. Muse with Evercore.
C.J. Muse: Yeah. Good afternoon, and thank you for taking my question. I guess the question on Comms, you guided that business, I think, down 7% year on year for fiscal 2019, but I believe you said earlier that all segments would be up now. And so, I'm just curious, are you suggesting now that's roughly flattish-plus, so $60 million of the $100 million is coming from – so, I guess, as part of that, could you help us understand what contribution you expect from ZTE? And then you've mentioned a few times on the call, early 5G. Can you walk through kind of the early signs of the strength you're seeing there and how you're thinking about the flow through of growth in fiscal 2019 and into fiscal 2020? Thanks.
Victor Peng: Yeah. We actually expect now that Communications will be up, not just getting back to being flat. As we said a little while ago, some of it is ZTE, but you shouldn't take away that it's all ZTE. And on the 5G, yes, we are seeing some early real deployments in 5G, maybe a little bit ahead of what we had expected. We still believe that the bulk of this will happen around the 2020 timeframe, but yes, it does seem like there are going to be some deployments earlier than that. And we have both MPSoC technology, as well as some of our pure FPGAs, as well as RFSoC technology going into those production deployments. So, that's a contributor. As we said also, Data Center, although it's small, it absolutely is growing, so that is contributing. So, it is broad market. It isn't just a single thing, certainly not singly just ZTE. So, we do see it turning from being a negative to a positive. And I guess what I'd say is that we don't share details about specific customer revenues. We had mentioned when the first thing – when this first broke out, the news around the denial order, that we don't have any 10% customers nor anybody who is really even close to that. Nevertheless, ZTE is an important customer, and now that we could resume shipment, that's contributing to that strength.
Lorenzo A. Flores: Yes, C.J., you've said correctly that we had guided it down, on the average 7%, at our Analyst Day. We now see it positive in the mid-single digits in Communications for both those end markets combined, and I won't repeat too much of what Victor said in terms of breadth, but it is significantly more than just our expectations for ZTE.
Operator: Your next question comes from the line of Tristan Guerra with Robert W. Baird.
Tristan Gerra: Hi. Good afternoon. Still very high gross margin levels embedded in the guidance for the rest of the year, but still a little bit lower than the 70% to 71% that you had for the three quarters of fiscal 2018, and presumably, if you see strength in Communication and also a pickup in Data Center, those presumably would be higher margin products. So, could you give us maybe a little bit of details on the gross margin profile? Are you pursuing lower margin opportunities? Or if not, what are the type of end markets that basically bring us back to the gross margin level that you used to have a couple of years ago?
Lorenzo A. Flores: So – hey, Tristan. The observation that the guide is a little bit below where we ended up the second half of the year is correct, but I do think you have to put in perspective that the gross margin levels we attained as a company are really quite good, a result of the value we provide our customers, and how aggressively we're managing the cost side of it. So, we worked real hard. We think the 68.5% to 70.5%, I guess 71%, that we got at Analyst Day is quite strong performance in aggregate. It will move up and down, dependent on mix. But one of the premises you said, that particular Communications business is higher than average, you have to keep in mind we have a portfolio of customers and a portfolio of end markets, and the margin dynamics are very different with each of them. I wouldn't say we're passing up revenue growth opportunities with any sort of margin screen. We aggressively pursue all the business that we think we can get, so.
Victor Peng: So, on that last note, let me just comment here that wireless specifically is generally very competitive. And so I don't think if you look at Communications as a whole, including wireless communications, I think the statement that wireless communications tends to be very margin rich is not the appropriate characterization, frankly. And on the Data Center side, it really depends. You have to remember that when we talk about Data Center, we have opportunities in compute, storage and networking. And depends on what the use case is, there are some good, healthy value that we can hold. In other cases, you have to compete for the business. So, yeah, I'd say that you have to be a little careful about historic, perhaps, margins versus where things are today.
Operator: Your next question comes from the line of Romit Shah with Nomura.
Kellan Grenier: Yeah. Hey, everyone. This is Kellan Grenier for Romit. Thanks for taking the question. I was just wondering, your CapEx number for the full year that you gave in May was $45 million to $50 million. It looks like we're about halfway there exiting this quarter. Is there any change to the full year spending plan and kind of the distribution over the next three periods?
Lorenzo A. Flores: We might be a little up from that plan, but on the order of $10 million to $15 million, but nothing material. And it could be a little lumpy based on some of the – it's basically some building refresh projects we have going on. So, there's nothing significant.
Operator: Your last question comes from the line of Chris Danely with Citi.
Unknown Speaker: Hi, guys. Thanks for letting me ask the question. This is Billy, on behalf of Chris Danely. Can you talk about a little more detail about why the Data Center was down this quarter? How much of that was crypto versus the rest of it?
Lorenzo A. Flores: Yeah, I'll talk about that. It was largely impacted by crypto. If you take out crypto, we actually grew. We grew high-single digits quarter to quarter and, I think, 40% year over year. So, very strong, again, but based on a small number. So, that was mainly crypto that took that segment down.
Operator: And there are no further questions at this time.
Matt Poirier: Okay. Well, thanks for joining us today. We will have a playback of this call beginning at 5 P.M. Pacific Time, 8 p.m. Eastern today. For a copy of our earnings release, please visit our Investor Relations website. Our next earnings release date for the second quarter fiscal year 2019 will be Wednesday, October 24, after the market close. We will also be attending the following conferences this quarter: The KeyBank Tech Forum in Vail on August 13, Jefferies Infrastructure Summit in Chicago on August 28, and the Citi Global Tech Conference in New York City on September 6. This completes our call. Thank you all for your participation.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.